Operator: Good morning ladies and gentlemen, thank you for standing by. Welcome to the National Oilwell Varco 2009 First Quarter Earnings Conference Call. During today's presentation, all parties will be in a listen-only mode. Following the presentation, the conference will be open for questions. (Operator Instructions) This conference is being recorded today, Thursday, April 23rd, 2009. Now I would like to turn the conference over to Mr. Loren Singletary. Please go ahead, sir.
Loren Singletary: Thank you, David. And welcome everyone to the National Oilwell Varco first quarter 2009 earnings conference call. With me today are Pete Miller, Chairman, President, and CEO, and Clay Williams, Chief Financial Officer. Before we begin this discussion of National Oilwell Varco's financial results for its first quarter ended March 31, 2009, please note that some of the statements we make during this call may contain forecasts, projections, estimates, including but not limited to comments about our outlook for the company's business. These are forward-looking statements within the meaning of the Federal Securities Laws, based upon limited information as of today, which is subject to change. They are subject to risk and uncertainties and actual results may differ materially. No one should assume that these forward-looking statements remain valid later in the quarter or later in the year. I refer you to the latest Form 10-K, National Oilwell Varco has on file with the Securities and Exchange Commission for a more detailed discussion of the major risk factors affecting our business. Further information regarding these as well as supplemental, financial and operating information maybe found within our press release, on our website at www.nov.com, or in our filings with the SEC. Later on this call, Pete Clay and I will answer your questions. We ask that you limit your questions to two, in order to permit more participation. Now, I’ll turn it over to Pete for his comments.
Merrill "Pete" Miller, Jr.: Thanks Loren and I hope you are all on here. We just got some strange feedback on the call. So, I hope you’re able to listen to me. And again we appreciate you calling in here today. Earlier today, we reported net income of $470 million, or $1.13 a share on revenue of $3.48 billion. This compares to a net income of $1.40 a share on revenues of $3.8 billion in the fourth quarter of 2008 and net income of $1.11 a share on revenues of $2.7 billion in the first quarter of 2008. Additionally, we reported a quarter ending backlog of $9.6 billion after taking in a net $240 million of new orders during probably what is historically one of the most difficult economic times in the world economy. I will provide more color in a moment regarding our operations and backlog in this call. These are very challenging times economically throughout the world generally and in the oil and gas business specifically. However, with challenges cum opportunities, and at National Oilwell Varco we are positioned to take actions through these difficult times to become an even stronger company as we look to better times in the future. We will avail ourselves of opportunities and have a wonderful balance sheet that puts us in a position to be able to do things that are going to strengthen the company throughout this downturn. At this time, I would like to ask Clay to provide more color on our results.
Clay C. Williams: Good, thanks Pete. National Oilwell Varco reported earnings of $1.13 per diluted share on $3.5 billion in revenue for the first quarter of 2009. Q1 earnings and revenues declined sequentially as rig counts and oil field activity fell in every major market around the globe as our customers retreated in the phase of increasingly bleat economic news. The company’s financial results for its first quarter of 2009 tail-to-tail of two businesses. Our backlog-driven Rig Technology segment continued to grow nicely up 5% sequentially with again exceptional execution at strong flow-through s. But our rig count-driven petroleum services and supplies and distribution services segments declined sharply, as the industry shared an average of 700 operating rigs from the fourth quarter levels, down about 21% worldwide. Overall revenues declined 9% at 48% decrementals from Q4 to Q1. Year-over-year pro forma comparisons are better, consolidated revenues increased 10% at 17% operating leverage, driving an 8% improvement in operating profit. On a GAAP basis, NOV’s quarterly earnings increased $0.02 per diluted share from the first quarter of 2008. Lately we’ve heard others talk of a Q2 bottoming in North American rig counts referencing incrementally less terrible news as marking a second derivative inflection point signaling that we are near the bottom that, but in our candor we do not know. What we do know is that a recovery, a return to prosperity is never a question of if, but when. We do know that a recovery is on the horizon perhaps as early as late this year, but we don’t know when it will happen. In the meantime, our customers are suffering and the industry is undergoing an extraordinarily breathtaking unwind of a steady five-year buildup in activity. It’s a cyclical business they can bite and right now it’s biting hard, but it never bites forever. Volume declines and ferocious price pressure are evident in our results in the first quarter and unfortunately we see more of the same continuing into Q2 even if activity rebounds in the third quarter, we will likely continue to see a lot of pressure on our margins as contracts roll-off and as we reprice to lower spot pricing typically 10% to 30% lower than last year. 2009 will continue to be very challenging we’re just glad that it’s almost one-third over already. Operating profit of $720 million declined 18% sequentially during the first quarter excluding Q4 transaction charges, but improved 8% year-over-year as compared to the pro forma of first quarter of 2008. Operating margin was 20.7%, compared to 23% in the fourth quarter, and 21% in the pro forma first quarter of 2008. Operating flow-through or leverage was 48% sequentially and 17% year-over-year. The sharp decrementals on the revenue declines from Q4 results from a combination of volume declines, which typically run about 30% for petroleum services and supplies and 10% for distribution, coupled with pricing pressure. Unfortunately cost reductions in such a downward vortex simply can’t keep up fast enough to sustain margins. But nevertheless, future periods will benefit from cost reduction measures we are taking. Our operations are responding appropriately and resolutely tackling the difficult task of reducing costs in infrastructure with prudence and urgency. Overall we reported expenses for salaries, wages, overtime, contract labor, travel and entertainment, and outside services, that were down by $66 million from the fourth quarter to the first quarter, due to initiatives executed by our operations since late last year. Additionally, we are currently offering enhanced retirement benefits under a voluntary program to our long tenured employees. We expect to record a charge in the second quarter related to this program. The size of the charge and the impact on our P&L will not be known until we determine how many employees accept our offer and we will report the results to you in our next earnings release. Importantly, we are reducing cost prudently and thoughtfully with a view towards maintaining flexibility to ensure we can continue to service our customers well. In the cyclical world of oil field services you seem to always be driving your business one direction or the other. You’re either trying to grow like crazy to meet sharply rising demands at your customers during periods of growth, or you’re too big and urgently trying to cut costs as rigs are being laid down. Driving infrastructure and associated costs up urgently and down urgently as the market dictates, are necessary survival skills in this industry. Our team has shown amazing resourcefulness through the expansion cycle of 2004 to 2008 growing production five, six and seven folds for many of our products, but in late 2008 we shifted gears and moved crisply to the far less fund task of adjusting cost down to a far more subdue marketplace. Pete, Loren and I have an abundance of confidence in the capabilities of the profession of men and women of NOV who manage our businesses in both arenas. They know what to do in both arenas. As a result, National Oilwell Varco will continue to skillfully navigate whatever obstacles the market deals us and emerge stronger and better positions strategically when the inevitable upturn arise and it will arrive. The world industrial base is critically dependent on the precious commodities of oil and gas. Because of this we take the long view. This downturn is all about opportunity. It liberates to unleash initiatives and big bold news that simply are not possible when our factories and operations are running 24/7. The prosperity of the last few years narrowed our focus on getting more products out the door, which necessarily directs management’s attention to the short-term task of pushing out the last margin of product. A slowdown with the slack resources and lower utilization brings actually liberates us to think about to plan to execute broader initiatives like shifting again our production footprint to improve our overall cost structure. The concrete terms, this means we expect to use this newly found flexibility to reset our manufacturing footprint to drive production to lower cost areas and to redirect outsource production with marginal vendors back into our own facilities and we can do this at a time when it’s not disrupted to our customers. NOV will invest for the future. We continue to train our people to prepare for the upturn. We will step up efforts to push up QRM, cellular, and lean manufacturing techniques through our operations. We will find and execute attractive acquisitions all to better position us to take care of our customers. NOV is built for all kinds of weather. We carry into this downturn a rock solid balance sheet by design which bodes $2.2 billion in cash and less than $900 million in debt. All with very long tenor. A 2 billion revolving line of credit is undrawn and carries a very attractive interest rate. Our diverse mix of early cycle and late cycle oilfield businesses smooths earnings and cash flows through the natural cyclically of the oilfield. Q1 saw the company grow cash by nearly $700 million. Since March 31st we have put over $300 million of this to work in exciting new acquisitions and we hope to invest nearly $100 million more in another acquisition in the next few weeks. The financial design of NOV enables us to act on these spurting opportunities both internal and external which this downturn will bring. Demand from new drilling equipment slowed sharply in Q1 as we recorded net new orders of only $240 million down two-thirds from $724 million booked in the fourth quarter. Gross order for $272 million and cancellations about which I’ll provide additional color in just a moment, were $32 million. Reduction out of backlog was excellent at $1.7 billion up 15% sequentially as our Rig Technology Group continue to deliver excellent equipment on-time and on budget. We delivered ten offshore rigs this quarter bringing our total to 54 so far this cycle. The low 14% book-to-bill ratio in Q1 calls backlog to fall 13% sequentially to $9.6 billion. We expect revenue out of backlog is structuring down in Q2 and to be about $3.8 billion through the remainder of 2009, bringing the year’s total to about $5.5 billion. In 2010, we expect $4.7 billion and in 2011 we see about $1.1 billion all based on projects on the books at March 31st 2009. We also entered this downturn with unprecedented visibility and an awful lot of work to do. The quality if not the size of our backlog continues to hold up reasonably well despite the risk in the financial markets. The $32 million we removed from our backlog was predominantly coiled tubing and pressure pumping equipment order by North American customers. Last quarter we know that that we considered about $364 million of our backlog to be at risk, we now see this to be about $380 million up slightly from last quarter. We continue to negotiate with these more troubled customers to a range for the sale of these projects to others or otherwise find a solution that will permit them to move forward. We’ve been paid $93 million in cash on these; but have recognized only about $41 million in revenue against these orders. Despite price concessions not many drillers are buying new equipment in the first quarter, choosing instead the deferred purchase as a bread and butter capital units since payers and cannibalizing equipment from idle rigs wherever possible. So it’s suffice to say the headwinds we face are a little more stuff than they appeared last quarter. This is evident in our non-backlog revenue for Rig Technology down 18% sequentially and in the expendables we make and sell in Petroleum Services & Supplies and Distribution Services. Nevertheless, we expect orders for Rig Technology to improve as the year unfolds, and as we stated last quarter, much of this depends on Petrobras executing its reported plans. We continue to work with drilling contractors who are targeting the deepwater Brazil market to secure financing for new floaters through a government trade agencies. The progress has been slow but steady. We also continue to bid a variety of land rig projects in the Latin America and the Middle East and for some of the IPM projects that are being tendered. Last call we talked about the possibility of achieving $3 billion to $4 billion in orders in 2009 and we still believe this is achievable with a little luck. While we know orders will be challenging in the short run, we also know that risk never sleeps send that the task of retooling the world’s fleet of rigs is slowly, quietly rising an urgency. There are billions of barrels to be found and produced in deepwater basins, which will drive the fortunes of the world’s major oil companies in the coming decades. When the economic tsunami subsides, NOV will stand ready to resume our critical mission with the core team of talented, dedicated professionals up to the challenge. Now, let me turn to our segment operating results. Rig Technology post an exceptionally strong first quarter generating $2.2 billion in revenue and $606 million in operating profit in the first quarter, yielding an operating margin of 27.6%. Sequentially 5% higher revenue was due to higher shipments out of backlog up 15% offset by lower non-backlog revenue down 18% mostly due to North American land drillers and pressure pumpers shedding off purchases of both capital items and spares. Compared to the first quarter of 2008 revenues improved 37% and margins increased 230 basis points. Operating profit flow-through was 44% sequentially and 34% year-over-year. Most regions are seeing lower interest in new rigs, but many previously active projects in Russia, the North Sea and Far East being tabled pending economic clarity. However, we continue to work projects throughout Latin America and the Middle East albeit at a more measured pace than before. Demand for equipment across North America both drilling and completion units have dropped to about zero, despite price concessions, but we continue to see relatively stable demand for wireline units and certain other well servicing equipment destined for international locations. Commissioning activity remains very robust with several hundred employees engaged in installation and completion operations on 30 rigs and 13 shipyards around the world. This activity is expected to continue to grow through the years, we ready the rigs, we are building for spud. Operationally, we are taking this opportunity to reset our manufacturing footprint to move outsource production back into our plans and to move products to lower cost operations. The downturn will let us ketch our breath and tackle initiatives that simply not possible over the past few years. For instance, we are now moving much of our spending for gears from outside suppliers into a business we acquired a couple of years ago, which until now was too busy to handle all our needs. Our FM 529 plant has been reorganized to enhance flows and efficiency and we are driving still more standardization into mud pumps, and SCR houses through a IQ2 process to reduce manufacturing cost. We have consolidated certain well stimulation equipment manufacturing operations in the mid-continent, and we also continue to develop new product offerings for our market, like our new Drake Rig design which specifically targets shale plays like the Marcellus for maneuvering rigs around tight turns under low bridges and onto very small drill pads is challenging. First version of this rig is expected to spud its first well in the second quarter. We are seeing rising increase from a broad spectrum of customers for our new drilling instrumentation and data capture products, which optimize drilling operations. As market leader NOV understands well its responsibility to remain at the forefront of drilling technologies and techniques and we have for years honored our commitment to the industry to steadily invest in new and better technology for our customers, despite business cyclicality that at sometimes gut-wrenching. Looking into the second quarter, we expect to see Rig Technology revenues drop in the high single-digit range and high decrementals as pricing and volume pressures begin to mount. We nevertheless expect margins though to remain in the mid 20s through the year, owing to the strength of our backlog for this group. Our Petroleum Services and Supply segment posted revenues of $1 billion in the first quarter, down 27% from record Q4 sales of 1.4 billion. Operating profit was a $164 million and operating margins dropped to 16.2%. Sequential leverage or flow-through was 47% owing to a one-two gut punch of price and volume declines. Compared to the first quarter of 2008, revenues fell 23% at 50% decrementals. Substantially all of our product lines posted double-digit sequential declines, but the North American rig count and free fall and pressure in a number of international locations as well, notably the North Sea, Venezuela, Russia, and China. Drill pipe was our hardest hit product as drillers pulled strings off of idle rigs to meet their dwindling operating needs. Drill pipe volumes dropped sharply after a record fourth quarter and pricing have suffered to particularly on in lower end commodity pipes. Premium pipe demand for deepwater specialty streams is holding up comparatively better, but is also under some pressure. Due to a scheduled mill shutdown in our Voest-Alpine plant we purchased higher priced green tubes from third-party suppliers late last year, which continue to run through production. We expect some relief on the cost side of this business in the second half as lower cost green tubes begin to run through our P&L as we temporarily idle some well lines. Our inspection business saw a sharp decline in pipe processing operations as mills shutdown to reserve growing OCTG inventory bits and coating – our coating plant efficiencies are beginning to suffer from lower volumes, shorter runs, and more plant changeovers. Sales of downhole tools and bits also fell sharply as rigs went idle in the first quarter, which is opening up the possibility of cost integration between these products to improve efficiencies and sales coverage and we continue to move forward steadily with efforts to upgrade our motor and jar rental fleets with new high performance designs. Also, within Petroleum Services and Supplies, we are optimistic that we will be able to close our previously announced IntelliServ joint venture with Schlumberger this quarter pending regulatory clearance. Last quarter we were hopeful we find a level of stability following the Q1 drop in Petroleum and Service, Petroleum Services and Supplies overall, but it appears to us now that revenues and margins will continue to decline through the second quarter. And certain international projects are getting off to a slow start and as pricing pressure has been much greater than expected. Overall for Petroleum Services and Supplies, we expect low double-digit sequential declines in revenue, at decrementals in the 40 to 50% range in Q2. Distribution Services was also hit hard by the downturn in rig count, mostly in North America. Both the U.S. and Canada posted large revenue declines, but these were partly offset by significant growth in international sales where we have methodically invested over the past few years, which came in at good incrementals. Our rig store concept, which we discussed on prior calls, appears to be gaining momentum. Another bright spot is - in this business is our mono business, which despite lower sequential revenues posted record margins in Q1, owing to manufacturing efficiency initiatives and high demand for artificial lift products into Latin America. Merge this group with our extensive distribution store network spanning over 200 stores is working very well and is expected to provide additional growth opportunities. Revenues for the Distribution Services Group were $408 million, down 16% from the fourth quarter, but up 11% from the prior year. Operating profit was $25 million and operating margin was 6.1% down 218 basis points from Q4’s record. Operating profit flow-through was 24% much higher than normal for this business due to severe price pressures across the board. Looking forward into the second quarter, we expect Distribution Services revenues to decline somewhere in the mid-teens range at decrementals in the 15% range, higher than a long run 10% flow-through level due to continued price pressure. Turning back to National Oilwell’s consolidated first quarter income statement. SG&A declined $13 million, sequentially as decreases in salaries and wages, T&A and other costs were partly offset by higher bad debt accruals and legal expenses in the quarter. SG&A was 9.2% of revenue in Q1, compared to 8.7% in last quarter. Equity income from our unconsolidated joint venture with Voest-Alpine grew $12 million sequentially due to higher OCTG sales and a stronger dollar, but we expect this to fall in Q2 due to the softening pipe market. Other expense on our income statement swung from a $9 million credit in Q4 to $36 million debit in Q1, due to a $26 million FX charge in the first quarter. The first quarter FX charge was mostly due to adjustments made to our hedging positions in Norway where our largest ledger is U.S. dollar functional, but where we incur substantial periodic costs in Norwegian Kroner and euros which we hedge back to our functional currency on a forecasted basis. Our fourth quarter income statement benefited from a net FX gains, giving rise to the sequential swing. Additionally, we incurred higher bank fees associated mostly with letters of credit, we issue against large downpayments and progress billings from our customers, which also adversely affected the other expense line in our income statement. Unallocated expenses and eliminations on our supplemental segment schedule which is pro forma for the Grant Prideco acquisition for all periods were $75 million in the first quarter, up $11 million due to higher legal expenses and higher payroll taxes on Q1 incentive compensation partly offset by savings in other areas. In particular, legal expenses were up as we charged off costs associated with M&A activity, following our adoption of FAS 141R that was previously being capitalized. Tax rate was 32.5% for the quarter and we continue to expect 2009 to remain in that range. Depreciation and amortization was $116 million in the first quarter. CapEx was $79 million. We expect 2009 CapEx to be in the $350 million range. EBITDA was $827 million in the first quarter. Our March 31st 2009 balance sheet employed working capital excluding cash and debt of $2.2 billion down about – down about $300 million in Q4 and equaling 16% of annualized revenue consistent with prior - recent prior quarters. We saw some deterioration in collections in certain areas in the quarter. So, we are aggressively pursuing collection efforts and vigilant for any potential customer payment problems, but overall DSOs remains stable. Customer financing on projects in the form of prepayments and billings in excess of costs, less cost in excess of billings was $2.1 billion at March 31, down slightly from the prior quarter due to the high level of revenue at a backlog. Cash flow from operations for the first quarter was $785 million and less Q4 CapEx of 79 million yielded free cash flow for the quarter of $706 million. Now, let me turn it back to Pete.
Merrill A. “Pete” Miller, Jr.: Thanks Clay. What I would like to do at this point is just talk a little bit about our operations and also give you kind of a quick overview of what we’re seeing around the world. You know there is some basic theme so I’m going to reiterate a few of the things that Clay has already mentioned. Basically, when you talk about our distribution in our Petroleum Services and Supplies business, a big part of what we are doing today is we’re going to be improving the efficiencies throughout the organization, we are going to be doing a lot of insourcing. We are starting to see raw material reductions. We are starting to see some things come across the board on steel that I think will be positive, and we’ll try to parlay those to our advantage as we move forward and you will also see continued international expansion bias on these areas. While the international market is a little softer, it’s still not anywhere near soft as what you see in North America. We are also going to continue to wipe push off the shale place and I think as you look around the United States Haynesville and Marcellus I will still be able to continue to pick up some steam we also think you’re going to see some international shale place. And shale place manifest themselves we want to be able to take advantage and move some of our operations into those arenas. Currently in the distribution business when you take a look at the margins we are still able to achieve in the down market were very pleased with that and I think our rig store concept is continuing to gain a lot of momentum especially when you see many of the new rigs that are coming out and our petroleum services supply business and we continue to integrate very effectively and the things that we done with the Grant Prideco, acquisition and internal tools today we are able to offer the complete array of bottom or assembly from bit, from items that we brought into Grant Prideco internal tools that we already had in the legacy National Oilwell Varco. We think being able to cut and put these products together really it has a very compelling value a store to our customers and we are excited about the opportunities that are rising also because of the all new rigs we build as you take and look at the deep watery it starting to see many of these rigs coming from the Gulf of Mexico. I think we are able to – as these rigs run much more of our PS&S business and to expanded business out there. Operation continues to work very well and being able to integrate the life cycle management of drill pipe and we’ve got a lot interesting things on the table like RFID chips that are going to be able to monitor a lot of what we do so we feel very, very good about of the position that we’ve able to do with these and distinguish in the future also Grand employees are being listening it. I would like to welcome all the books who are now part of PS&S group. And predominately, out of new – and England but also all over the world. And we’re glad to have as part of National Oilwell Varco and we think we’ll be exited about the things that we are doing. Now on our drilling side of the business and I would like to talk a little bit again about the same sort of things and today what we are really talking about continually there will be new rigs build. One of the things it looks like we just about signed up a drill ship – we have done hope to have it in the first quarter but these things were little bit slower today because financing but we are probably able to have it all of them by the end of the month. That would have substantially increase the 250 we talked earlier, but again it's all a question of timing and we feel very positive that things going to happen and I’ll talk a little bit more about that in a moment when I go round the world. But we are going to be saying I think much more in the Rig Technology Group. A lot more components sales a lot more refurbishment as opposed to new rig type sales, a lot of repair and maintenance, and again we are going to be doing a lot of the same things I talked about earlier on insourcing, efficiency initiatives, cost reduction, and then we are also looking at the lot of the products that we haven’t looked at quite as closely in the past, which would be FPSOs and well intervention type vessels. And also, in the Rig Technology Group, we have another new addition and that’s the ASEP acquisition that we made in Holland and for those ASEP those that are listening and we’d like to welcome you to the National Oilwell Varco family. Now let me real quickly just kind of give you a kind of a tour of the world and interestingly enough I’ll start in Brazil. That clearly is going to be the area where we are most excited about. The Brazilians continue to push forward on the deepwater play. We are positioned very well to take advantage of that. We have great relationships with all of the predominant contractors down there. They also were working very closely with many of the top shipyards in the world. Samsung, Hyundai, Daewoo, folks that we have great relationships with and we’ve built a lot of rigs with. So, we are excited. We believe that you are going to continue to see the Brazilians push forward on many of their on many of the initiatives that they have. I think that their stimulus packages down there are going to work very effectively and I think they are going to work to the advantage of us as we push through the year. So, as you look at, what’s going on, this particular quarter, the order intake was in quite what we had anticipated. However, we also have come through probably historically one of that toughest periods and quite frankly the market was also paralyzed in December and January We are starting to see that free up some and we are guardedly very optimistic about what we are seeing as we push forward. But brazil is going to be a large part of that. Also throughout Latin America, I think another spot that we were very encouraged by is Mexico. We are encouraged there, also because of the IPMs with some of our good customers like Schlumberger and that are getting them, but also because we believe that the Pamex will actually buy new rigs to participate in that themselves. So, we think Mexico is going to be very positive for every one of the business lines that we have in the throughout National Oilwell Varco. Other parts, I think Argentina will show a little bit more vibrancy as the year moves on, and I think Latin America in general will be a good spot. Now, throughout the rest of the world, it’s kind of interesting right now. Its clearly slowed up a lot but in the parlays of Washington and many parts of the rest of the world, there are lot of 'shovel ready' projects. In places like Russia, right now, they are having issues but I think that you will see a pretty big pretty quick bust out of that and given where you think the price of oil might go, I think the Russians have many, many 'shovel ready' projects to go. Many of the things that we’ve talked about are on hold. It takes a very quickly, can they bring them off hold. So, in the long-term, we’re still very excited about Russia. In the Middle East, I think there are some nice places still going on. Kuwait continues to very aggressively go after some rigs. I think you will see somethings at Iraq, which will be very positive and then Northern Africa, Egypt, really has some slow down much at all. Algeria has put a few projects on hold, but again I think they have a lot of 'shovel ready' projects that are going to be ready to go and we are positioned to be able to take advantage of those. So we are guardedly optimistic again that the Middle East will be a nice area. In China, we are starting to see a few of the fruits of the stimulus package there. I think that what you are going to see is, the Chinese will do somethings with our infrastructure that are going to increase their demand for oil which overall I think in the - for the economy in general or for the oil business in general is going to be a positive development. We continue to have a lot of different operations in China. I’m very excited about some of the projects as we push into in late’ 09 and early ’010 as we get towards the end of the year. So, I think throughout the world the real issue is going to be 'shovel ready'. It’s going to be projects that when they are ready to go, we have to be on the doorstep to be able to take advantage of them and we feel very good about that. So that’s kind of a quick overview. It gives you kind of an idea of what it is that we are doing and we feel very comfortable with our backlog at this point as Clay has mentioned. Predominantly, it’s an international and an offshore backlog and we think as we go through the year, you will continue to see additions to the backlog, not quite to the $2 billion levels that we’ve seen in the pass per quarter, but still it’s going to be – it’s going to be positive and it’s going to give good transparency and visibility as we look out into the future. So with that, David I would like turn it over to you and ask if any of our listeners have any questions.
Operator: Thank you, sir. (Operator Instructions). Mr. Geoff Kieburtzof. Please respond with your company name followed by your question.
Geoff Kieburtzof – Weeden :
Merrill "Pete" Miller, Jr: Well, I think, when we talk about large, what we are really talking about is the viability of the financial community. I think some of the things, and also it's some amount of timing. What you have today in this environment is probably a more protracted negotiation timeframe. I know mentioned earlier that drillship that will sign up here eminently that we thought, we get in the first quarter, year ago, we would have hit through that pretty quickly but because of the protracted timeframe, making sure that everybody has got financing making sure that we in turn get, our down payment in-house, before we put anything into the backlog, that that those timing issues require a little bit of look just on the cut-off dates if you will. We cut-off everything on a 31 March and if something moves into the second or third of April than its well, gosh, we didn’t get in the first quarter, it moves into the second quarter. And I think also, it means that there has to be a little bit of financial viability out there and I think some of the governments are going to have to step-up to deploy with some of the assurances that they'll like peak in Norway and some of the other places that they will ensure and guarantee some of the financing that there. So that’s, that's really the type a lot. We don’t think, it's a lot that is unprecedented. It's just going to be moving a little bit more quickly that it appears, it is right now.
Unidentified Company Representative : And there is less urgency relatively on the process, right now to Geoff, I mean, part of that is it, that as Pete, just mentioned a lot of our customers are pursuing government back financing on these projects and the agencies that he just referenced require a lot of documentation and things just tend to move a little more slowly so that, it just cranking at a more methodical price and it was, just as last year.
Geoff Kieburtzof – Weeden: You, I think you have mentioned that you’ve been working particularly with the backlog that the customers that represent the backlog at risk. You’ve been working with them to help. You’ve arranged financing and help them more through their problems, have you been experienced, have you seem things getting better or is the system still kind of gummed up here?
Merrill "Pete" Miller, Jr: Geoff, I would say we're seeing and getting a little better. I think that – I think there is a little bit more money that's available to folks today I mean, I think you, it just from what you look at in the financial community, if you try to finance anything in December, January, you were probably out of luck, but today you’re starting to see a few things for you and so, I think that I would say clearly from late December, January to today, things haven’t proved and I think the psychologies improved, and I also think the financial markets have improved a little.
Geoff Kieburtzof – Weeden: In terms of the backlog that a risk now I guess you said $380 million. Can you characterize the composition of that in terms of, the way you talk about backlog say international, domestic, land offshore or possibly not even in drilling equipment itself?
Merrill "Pete" Miller, Jr: Yes, predominantly, offshore rigs there is a ample of jack-ups in there one floater.
Geoff Kieburtzof – Weeden: Okay.
Merrill "Pete" Miller, Jr: Okay and then kind of a variety of various ordinance for people that we were buying components to go into mostly into land rigs.
Geoff Kieburtzof – Weeden: Okay. And last question, are you expecting working capital to be a positive or negative contributor to cash flow this year.
Merrill "Pete" Miller, Jr: I think, it will continue to be a positive. It was in the first quarter and I think as, where they just got a down on revenue across all three segments. I think it's going to continue to move down through the – as the year develops. One of the challenges, we have in a short run is we had such a long lead time, on a lot of the components that we’ve buy a number of businesses had to place orders, kind of adding the future. So, we still had some raw materials and things coming in the first quarter. So the inventory ended up in roughly, I think it was up just slightly because it flat and the businesses were trended up, with generally because purchase orders place sometime ago that were still coming in. So I think those kind of get and in other words, I think we certainly slowdown buying a lot on the inventory front and I think, it will go down a little bit more in Q2.
Geoff Kieburtzof – Weeden: Great, thank you.
Merrill "Pete" Miller, Jr: Thanks Geoff
Operator: Thanks sir. And Mr. Jeff Spittel [Natixis Bleichroeder]. Please state you company name and followed by your question.
Jeff Spittel – Natixis Bleichroeder: Sure, Jeff Spittel, Natixis Bleichroeder. Good morning, guys. First question, just I appreciate the comments about Brazil, if you could talk, I guess a little bit more we started to hear out of Petrobras and in the press a little bit about additional orders, for floaters, appreciate that things are little bit backed down in terms of financing for that initial wave of 12, but could you give us a general sense I guess in terms of timing and what the outlook is for the plans behind that initial package of 12 floaters.
Merrill "Pete" Miller, Jr:
Unidentified Company Representative: As a reminder to Jeff, we announced we won 3 of the 12 backlog in Q3 of last year and have a couple others that we’re still working hard with those customers to try to get financing on that.
Jeff Spittel – Natixis Bleichroeder: Okay, and then if we could switch gears over the land market, principally in North America, could you talk about people are obviously getting to be cannibalizing drill piping, consumables, as the rig count is continuing to fall through Q2 here. Could you talk about comparing that process versus some of the prior downturns and what effect the proliferation of the shale plays has had on that process this time, if it’s different or if it’s not?
Merrill "Pete" Miller, Jr: Yeah it’s a try to do practice when the business cycle down our customers are pretty energetic about pulling consumables and expendables off of rigs they go idle and it’s not just drill pipes, mud pump liners and centrifugal pumps and so whole mired of things. So we’re kind of seeing it across our business. I guess as you point out the difference this time there is a lot more horizontal drilling going on. And so we think that it makes the average rig running a little more drill pipe consumptive, because it – it now will be tend to be drilling a horizontal well which burns through drill pipe faster. Interestingly, here in the last quarter or two we’ve seen non-vertical drilling, directional plus horizontal rise above the 50% mark in the U.S. market. It’s now about 60% of horizontal wells or horizontal rigs are down only about 37% whereas vertical rigs are down more or like 60%. And so it's evident that the economics of these plays, the economics of drilling horizontally appear to be surviving the economic stress a lot better. And so, but in spite of all of that when the rig count plummets 51% from peak to where we are now, demand for drill pipe is going down and we certainly felt that in our businesses.
Jeff Spittel – Natixis Bleichroeder: Okay, thanks guys. I will turn it back.
Merrill "Pete" Miller, Jr: Thanks Jeff.
Operator: Thank you sir. Mr. Bill Herbert. Please state your company name followed by your question.
William Herbert – Simmons & Company International : Thanks. Good morning guys.
Merrill "Pete" Miller, Jr: Hi, Bill.
William Herbert – Simmons & Company International: Pete getting back to the Q1 orders and attempting to bridge that with the guidance and lets just stick with the $3 billion kind of low end of the range. So, if the math is right here, you are going to have to average about $900 million a quarter going forward in order to meet the lower end of that range. Walk me through if you will, how much of that is contingent on Petrobras? And what is non sort of Petrobras related opportunities?
Merrill "Pete" Miller, Jr: Well, I think Bill, I won’t get too specific in the sense of, given your numbers.
William Herbert – Simmons & Company International: Okay
Merrill "Pete" Miller, Jr: But clearly, we would expect a portion of that and a good portion of that to be in the deepwater rigs that would come out of Petrobras. And as you take a look at the first half $900 million a quarter is absolutely right, methodically, that’s just not the way at all it happens so you know, you could have the $500 million a quarter
William Herbert – Simmons & Company International: Sure
Merrill "Pete" Miller, Jr: And a $1.4 billion a quarter something like that. But if you take a look at some of these Petrobras rigs, you’re talking, lets say roughly speaking $2 to $250 million per and so as we look at the few of those, you can kind do the math, and think well if you picked up four five of those, what that would mean for you, there is a lot of land business that I mentioned earlier in the Middle East. Some of those lands rig there are much greater than you’ve have for instance you might sell a rig in the United States for $13 million, but by the time you do the things that you need to do for a dozen or the rigs are even north (inaudible) type rigs, you are up to $30 million to $35 million. And also, it’s not just Petrobras that’s looking at rigs. We mentioned Petrobras simply because that’s the one that’s out there and most of our shareholders are pretty cognizant of what’s going on there, but there will be others that will in fact order some new rigs be they floaters, semi-submersible drill ships and/or I think some jack ups believe that or not so.
William Herbert – Simmons & Company International:
Yeah:
Merrill "Pete" Miller, Jr: That the fact of the matter is there is still a lot of stuff that’s out there that we’re working on. When you look at the tender offers that we have today, it’s still pretty substantial. It’s not, our folks are working very, very hard diligently getting a lot of quotations and bids out there. I think the reality of it just becomes one of timing. So, we are not disappointed at all about where this is going, and I think the nice thing is that with the $9 billion $9.6 billion backlog that we have today, we can withstand a quarter like we just had, and not really miss a beat in what we are doing in our Rig Technology Group. And when orders start coming in, I think you’ll see as the rig count goes down then at some point you’ll start to see the build of a one-to-one book-to-bill ratio.
William Herbert – Simmons & Company International:
Merrill "Pete" Miller, Jr: Yeah
William Herbert – Simmons & Company International: So, if that drillship had in fact landed in Q1, you probably would have been tracking relatively closely to your original expectations, correct?
Merrill "Pete" Miller, Jr: Yeah, much more closely, that's correct.
William Herbert – Simmons & Company International: Okay. And is the drillship, is that a Petrobras related opportunity or is it something else?
Merrill "Pete" Miller, Jr: It's a Petrobras related opportunity.
William Herbert – Simmons & Company International: Okay, and then just generally speaking, you’ve have recently consummated the couple of acquisitions, I think you’ve been amongst the most sort of demonstrative about putting your balance sheet to work and investing in this part of the cycle which is absolutely the right thing to do. I am just curious you mentioned and then a subsequent $100 million opportunity that you are about to close on. The pain for me if you will the landscape of opportunity that you’re looking at above and beyond what you’ve already done and what you’re about to do?
Merrill "Pete" Miller, Jr: You bet. We are, first I am not going to say anything about that, but other than I have already said about the upcoming transaction, because it hadn’t happened yet. But secondly, beyond that we have another half dozen or so, clearly well-to-well the opportunities that we are considering, mostly international, mostly private that aggregate to be another couple $100 million and then beyond that we’ve got some larger opportunities that typically kind of move through our process a little more slowly, little more closely negotiated and economically that the larger the deal generally it's the less compelling the economics.
William Herbert – Simmons & Company International: Right
Merrill "Pete" Miller, Jr: Not surprisingly, but and I would stress that this is an a typical we’ve ramped up our efforts to make acquisitions as the business starts cycling down, we took steps in October, November last year to add some staff in this area and some resources in this area and really send our folks on the road to find more things. And so, we always as you know, always have a pretty good backlog of acquisition opportunities that we are looking at, but we are very consciously try to step that up. So, where we are now in the process of starting to see that come. Maybe hopefully the front-end of this come though. I’ll stress, as I always do none of these transactions are ever closed until are closed.
William Herbert – Simmons & Company International: Sure.
Merrill "Pete" Miller, Jr: Yet, we follow hard in the eleventh hour sometimes, but we really try to approach this statistically, lot of conversions going and make informed decisions about that opportunity set, based upon a statistically meaningful sample size. So, that’s kind of what we are seeing out there and finally, Bill, let me wrap up my answer by telling you that we are really not seeing very many distressed opportunities.
William Herbert – Simmons & Company International: Okay
Merrill "Pete" Miller, Jr: There maybe a perception out there that a lot of people are suffering. Generally, a lot of folks in oil field services learned a long time ago not to push their balance sheets too far. So, I think a lot of, particularly private companies entered this downturn with pretty strong balance sheets are not being pushed on by their banks. And generally the folks we’re talking to, view the sale of their business, really a sort of the hand off of that business to NOV so that we can take it to the next level.
William Herbert – Simmons & Company International: Okay, just to wrap up, I mean, the punch line for me Pete, what I sort of derive some from our dialog here is that, you had a meaningful opportunity that you thought was going to close in the first quarter in terms of an order slip into the second quarter, but be that as it may, your order evolution is pretty much tracking as you thought when you formulated the guidance in the first place. I mean, is that correct?
Merrill "Pete" Miller, Jr: Absolutely yeah.
William Herbert – Simmons & Company International : Okay
Merrill "Pete" Miller, Jr: We are still pretty consistent that with that right now Bill.
William Herbert – Simmons & Company International : Great, that's very helpful. Thank you guys.
Merrill "Pete" Miller, Jr: Thanks Bill
Operator: Thank you, sir. Mr. Brad Handler, please state your company name followed by your question.
Brad Handler – Credit Suisse: Thanks, good morning. It’s Credit Suisse.
Merrill "Pete" Miller, Jr: Hi Brad.
Brad Handler - Credit Suisse: Hey. I guess I’ll stick with the order discussion as well as please. Although I think those just try to sort of put it into some perspective, but so is the message and I will move on. Is the message that, it’s not really a little bit of luck, but it’s the same guidance as what you have been trying to illustrate all year?
Unidentified Company Representative : No let me be clear. We need or we are less than improve over the – what we’ve had the last couple of quarters. The rig count plummets 51% we don’t really view ourselves being particularly having good luck here lately so.
Brad Handler - Credit Suisse: Yeah, right, that makes sense. I’ve gotten the sense that up until, fairly recently there was a little bit more conviction of what we heard in your prepared remarks and so on just trying to fill that out.
Pete Miller: Oh, I wouldn’t parse the words too much because I mean – again we like what we see into the future. I think, when we talk about luck, luck is probably much more of a timing issue as opposed to we know there is a lot of things are going to be done, but it really is a question of just timing.
Brad Handler - Credit Suisse: Okay. Well, that’s helpful. It sounds like if I’m (inaudible).
Merrill "Pete" Miller, Jr: Yeah we are not going on to, David. I’m sorry. Go ahead Brad.
Brad Handler - Credit Suisse: Maybe, we’re clear again. Okay, couple of elements within that please just to help us understand it. If I understood it right, maybe half of that outlook came from the upgrade and refurbishment process, perhaps by existing contracts drillers taking advantage of a little bit of downtime. There was obviously some element of that not happening in the first quarter maybe that’s not so surprising, but what’s the visibility on that part of your order book.
Pete Miller: No it's actually Brad, it would be less than half. I mean, we need to have some big offshore rigs come our way to hit the guidance.
Brad Handler – Credit Suisse: Okay.
Merrill "Pete" Miller, Jr: But I mean the answer to your question, yeah we saw kind of a first quarter paralysis that we think is in the cannibalization process going on, but then only last for so long and Pete’s comments earlier were referencing the fact these guys are going to have to get back to buying. You are going to have rigs come into the shipyard to take advantage of that downturn and get they are going to refurbish equipment and upgrade components through that window.
Brad Handler – Credit Suisse: Okay, very good. Just a couple for me if I can squeeze it and I apologize. I know it's something like. What implication does it have for you, if the Petrobras in fact with the 28 upcoming rigs kind of mandates in some sense and I am curious for your thought but mandates that it is sort of local production driven, if you will local manufacturing is it just a takeaway from some of the opportunities for you or is it not affects your outlook?
Merrill "Pete" Miller, Jr: No it really doesn’t affect us too much at all. I think when you talk about the local, content of that, Brad what you are really talking about are the shipyards in holes and it's not there somewhere to what you see, when we go to Korea today, you have, the Koreans build the holes be it a drillship or a semi-submersible and we put on the drilling package. And you will see the same sort of thing that would happen in Brazil. I think it's more driven around being able to build the holes put those down there and then have folks like us come in and be able to bring the drilling packages in. And well there is some local content. We’ve got very extensive operations throughout Brazil and Macaye, as a matter of fact we just opened the training facility in Rio de Janeiro, to be able to train lot of the people that are on the rigs that we are putting in there. So, we work very closely with them but that will not – that should not have any negative implication at all for us.
Brad Handler – Credit Suisse: Okay. That’s helpful and then just lastly, can you and what is still out there as you are trying to push to the finish line? Are you getting pressure put back due to lower pricing?
Merrill "Pete" Miller, Jr: Well, you know I mean, I think we get bad and the best times. I mean, these are all these are tough negotiations all the time and I’ve been in the business for 30 years and never have I had anybody just taking a price I gave without negotiating. So, I would expect that we’ll continue to see fresh negotiations all the time.
Brad Handler – Credit Suisse:
Presumably those negotiations became a little bit more relevant in the current environment. Are you seeing, and is it fair to assume that we start to, you mentioned $2 to $250, it was $250 to $3, is that some indication of perhaps where pricing kind of need to go to help push some of these projects along?:
Merrill "Pete" Miller, Jr: Yeah and that’s probably more a function of FX changes and raw material changes.
Brad Handler – Credit Suisse: Okay. Thanks for your answers guys. Appreciated.
Merrill "Pete" Miller, Jr: Thanks Brad.
Operator: Thank you sir. Mr. Jim Crandell, please state your company name followed by your question.
James Crandell – Barclays Capital: Good morning Pete and Clay..
Unidentified Company Representative : Good morning Jim.
James Crandell – Barclays Capital: Pete Halliburton and Schlumberger are good customers of yours, if they were to do a lot of the IPM works in Iraq in your opinion would they need a lot of newer rigs or are older rigs sufficient to do a lot of the field development that will be required there?
Unidentified Company Representative : I think it would be a combination Jim. It would totally be dependent upon what the particular field was, but I think what we’ve seen in Iraq today is there are some fields that you can probably use some existing rigs which I think each one of those companies would be able to come up. But there is other fields that are going to have a little bit more, I think the requirements are such that you would probably want to put a new rig that was more fit for purpose in there. So I think it will be a combination of factors.
James Crandell – Barclays Capital: Okay. Second question Pete, can you give me an update on, let’s say potential projects that you are working on now that are not progressing because the customer isn’t paying you, have there been any additional ones since the last quarter? Is it pretty much the same situation?
Clay Williams: Yeah, Jim, the $32 million, we relieved out of our backlog were projects we sort of gave up on and then we had another group of drilling equipment it was lose odds and ends that came into that bucket. So, it went from $364 million at the end of Q4 that we identified at risk to about $380 million this quarter that we have identified at risk
James Crandell – Barclays Capital: Do you think those projects, Clay, project, your projects that involve new rigs, well that those are those or most of that would be continued by a major oil company and that they would not be canceled, they would just transfer ownership at a present time to renew more financially stronger company?
Clay William : One of the offshore rigs has a customer out there and we are working to try to get that, find somebody to go ahead and complete that rig, the other is a little more speculative.
James Crandell – Barclays Capital: Okay. Activity in Pete and Clay, certainly is flowing precipitously here in the last 6 months, but one or two companies are now saying that is bottomed and should start turning out. Do you see that reflected in your interest in new rigs in your business?
Clay William: Probably, I’ve heard and I wouldn’t disagree with some of the folks that have said that they think it has bottomed and it’s moving up. There is one or two are the more, I think well financed company there that we continue to have some very, very fruitful conversations with and I think we will probably sell somethings under this year. I think it’s probably going to be more towards the latter part of the year before we’d see some meaningful improvement there. But as I kind of mentioned earlier, the nice thing about it is we’ve already had pretty in-depth discussions with a lot of our customers there and much of what’s going on there is shovel ready, it’s just a question of, I think financing and price of oil and whether or not the folks want to push forward. But I think when they do, decide they want to do it’ll be something that will happen fairly rapidly.
James Crandell – Barclays Capital: Okay and last question, you are obviously very close to what’s is going on in Brazil. Do you think it’s possible if the deepwater rig market loosens up that a meaningful portion Brazil’s 42 rigs will be gotten from existing rigs that are already out there, but that are idle mean number new rigs could come down maybe even measurably come down from those 42?
Clay Williams: I’m not too sure on that Jim. I mean, I think what you’ve got right there is, there is so many specific items about these rigs that are so much what’s the water depth and I think we have a tendency to look at deepwater rigs and kind of just all-in-one class one in fact a lot of them can do things quite differently and I think that the Brazilians are probably pretty intent on pushing ahead with a lot of the stuff that they have got in their plants right now to build. So, well some could be displaced. I’m not sure I’d say to be meaningful.
James Crandell – Barclays Capital: Okay, thank you very much
Clay Williams: Thanks Jim
Operator: Thank you sir. And ladies and gentlemen due to time constraints that is our final question. I would like to turn the call back over to management for any closing remarks.
Merrill "Pete" Miller, Jr: Well, thank you very much for calling in and we look forward to talking to you at the end of our second quarter Thank you very much.
Operator: And ladies and gentlemen, this concludes the National Oilwell Varco 2009 first quarter earnings conference call. If you’d like a replay of today's conference, please dial 303-590-3000 and enter access number 11128066. ACT would like to thank you for your participation. You may now disconnect